Sze Fun: Good afternoon, everyone. Welcome to CDF Services Limited Financial Year 2025 Annual Results Analyst Briefing. I'm Silvia, the Head of Group Investor Relations and Corporate Communications. Thank you for joining us today, both online and in person. Due to the impact of the very strong typhoon, we had to delay the analyst briefing to today, and we truly appreciate your flexibility and also continued support. Our senior management will walk you through the overview of the results highlights and also the outlook of each of our 5 business segments and also our strategy moving forward, and then Q&A session will follow. [Operator Instructions] Without further ado, may I now invite our Executive Director and Group Co-CEO, Mr. Gilbert Ho; and Executive Director and Group Chief Operating and Financial Officer, Mr. Jim Lam, to kick start the meeting. Thank you.
Chi Hang Ho: Okay. Thank you. Again, thank you for everyone for joining our presentation today. I understand it messes up everyone's schedule, but unfortunately, we can't do the presentation yesterday. So first of all, the financial year '25 was a stable year for us. We continue our effort to redefine and strengthen the group business portfolio. As you can see, we have done a number of acquisitions as well as disposal. We also renamed our Insurance segment to Financial Services segment. And obviously, because of the couple of the acquisitions and we will explain also later on that. That will be one of the group focus on the fast-growing wealth management business.
Unknown Executive: In [ overseas market ].
Chi Hang Ho: Okay. And also with the logistics warehouses, we also renamed -- or I would say rebrand, give the logistics asset a brand called CTF Logistics to leverage the strong brand equity of Chow Tai Fook. We will continue to grow this particular segments and drive synergies across different portfolios so that the tenants mix can actually can move across our different assets. In the capital market, we have issued a number of convertible bonds with the initial aim to increase our public float and hopefully to also enhance the liquidity of our stock. And we will obviously talk about the bonus shares as well as the EB that we issued later on. We also maintained the sustainable and progressive dividend policy, and we continue to have a very consistent dividend distribution to our shareholders. In terms of the portfolio optimizations, as I mentioned, we have done a number of divestments throughout the financial year 2025. We have very timely disposed of the free duty businesses. We also disposed one of the investments that the group invested in 2011, Hyva Group, we disposed it earlier this year. Last but not least, we also disposed of our investment in [ ITAI ], which is a solar farm investments, which we invested in 2018, 2019. In terms of the strategic advancement, as I mentioned, we have renamed the Insurance segment into Financial Services segment to reflect its expanded scope with the 2 new members that we acquired throughout the year, first of all, uSmart in that group as well as the Blackhorn Group, which is focusing on external asset management. We also established -- through CTF Life, we also established Bermuda operations to serve the high net worth clients who want offshore insurance policies. For the Logistics segment, as I said, we rebrand the Logistics segment, the asset of the Logistics segment to have a consistent brand name of CTF Logistics. We will also, going forward, target the undervalued logistics assets in 2 main areas. One is the Greater Bay Area. The other is the Yangtze River Delta, which is around the Shanghai area. So for the investors who are looking into our stock, I think the key investment thesis when you're looking at CTFS, first of all, is the operational excellence across our very diversified business portfolio. All of them actually have very similar characteristics with stable cash flow and resilient earnings. You can see from the results that even during the trade war, the geopolitical tensions, we still deliver a relatively stable result for 2025. With the expansion of the financial services, we hope that we can actually leverage on a very strong brand name of Chow Tai Fook and also a very strong network of Chow Tai Fook Group to deliver unparalleled services to our different clients within the Financial Services segment. We continue to do portfolio optimization. As you can see, since 2018, we have done a series of portfolio optimization and it's not the end. In fact, we've just done one portfolio optimization yesterday, which we'll talk about it later on. Obviously, the aim is to maximize our long-term shareholders' value. Jim will talk about the financial management and the diversified sources of fundings, which is actually one of the foundations of our continued expansion of the group. Dividend policy, which I'm not going to talk about further. I think the actions say it all, we continued our dividend distributions for 22 consecutive years and it's counting and will continue. Last but not least, about our independent management team. All of us has been with the group for quite some years now. So for 2025, our AOP up 7% year-on-year to $4.4 billion, $4.5 billion. That actually includes 2 business, which is Free Duty and Wai Kee. If we exclude those 2 business, our AOP actually has gone up by 9% to $4.5 billion. In terms of each business segments, Road segments, the AOP is $1.4 billion, decreased 8% year-on-year, which I will actually explain a little bit about that later. If we exclude -- let's put it this way, we're just looking at the operating roads, which is -- because we have 4 roads which the concession period has expired throughout the year. If we exclude those 4 roads, the AOP actually has gone up by 1%. Financial Services, which for this financial year, which only has CTF Insurance has gone up by 29% to $1.24 billion. Logistics business, the AOP gone up by 3% to $740 million. Construction, $790 million, our AOP. If we exclude Wai Kee, it slightly decreased by 7% because of the project completions of the Construction business. Facility management is $89 million because Free Duty was disposed in the middle of the financial year, which was completed by the end of 2024 in December. If we exclude the Free Duty business, the AOV actually was increased by 16%. Last but not least, our strategic investment has increased by over 1,000% to $237 million. So looking ahead, different business segments. On roads, we do see the changes in the Road segments because of, first of all, of the economic situation and also the shifting traffic pattern. Second, the rising competition of newly developed roads. So I think from a long-term perspective, we will be very unlikely to further expand on the Road segments. However, we will try to enhance the earnings of our existing road portfolio, including some expansions on our current roads if we can find that the return of such expansion actually makes sense. On the Financial Services segment, CTF Life, as I mentioned, established its Bermuda operations to provide insurance products for high net worth individuals. We definitely will continue to boost our agency force, which I will talk about later. And also upon the completion of uSmart as well as Blackhorn. We will use that to expand on a very holistic wealth management platform, which hopefully, with all the different financial services units can actually work together to build our entire wealth management platform. And last but not least, is to utilize the strength of CTF Group for cross-sell about the different wealth management products, including insurance, brokerage as well as the external asset managers services of Black Horn. For logistics, we will continue to diversify the tenant base for both the logistics properties in Hong Kong as well as in China to offer more flexible arrangements to attract both short-term and non-long-term tenants. We will look for acquisitions in this space, especially in the GBA as well as Yangtze River Delta, which is around the Shanghai area for some undervalued logistics assets. For our construction business, we will continue to grow and gain market shares on the Hong Kong recovering construction market. As all of you know, a number of large construction contractor have closed down. So from our perspective, it is a time for our CTF Construction Group to gain market share in this respect. We will also explain later on that you can see the portion of government-related projects has increased from 40-odd percent to now 61% of our entire construction in progress. So that we will continue to focus on the government projects, especially the latest policy address has strengthened the effort in delivering the Northern Metropolis construction developments. The facility management, the 3 parts, the CEC, GHK as well as KTSP, I think we will continue to leverage on the government initiatives in supporting mega events in both CEC as well as KTSP. And for GHK, which we will explain also later on that we now achieved AOP, meaning that it finished its ramp-up phase and it's now going into a phase of fast-growing development, we will continue to expand its health care network in Hong Kong to diversify its revenue stream and also capture more patients from different areas in Hong Kong. I will pass it to Jim to talk about the financial first, and then we will talk about the different business segments updates.
Jim Lam: Sure. Thank you, Gilbert. Some highlights on the FY '25 financial results. As Gilbert mentioned, AOP for this year increased by 7% year-on-year to $4.5 billion. Adjusted EBITDA, which is a proxy of our cash flow generation for the year and included dividend received from our joint ventures and associated company increased by 1% to $7.3 billion. Profit attributable to shareholders increased by 4% year-on-year to HKD 2.2 billion. The Board approved a final ordinary dividend of HKD 0.35 per share, which is the same as last year. Including the interim ordinary dividend of HKD 0.30 per share and also the one-off interim special dividend of $0.30 per share, total dividend for the year amounted to $0.95 per share. Even if we exclude the special dividend, the ordinary dividend for the year of HKD 0.65 per share generated 8.3% dividend yield for the stock based on the latest closing price, which is quite attractive. Cash on hand amounted to HKD 20.2 billion. We have committed undrawn bank facility of HKD 9.6 billion. So total available liquidity is close to HKD 30 billion. Net debt balance was HKD 14.7 billion, which translates into a net gearing ratio of 37%, which is more or less the same as a year ago. Net debt to adjusted EBITDA ratio is 2x, which suggests we remain in a very healthy financial position. As you know, we have strategically shifted a substantial portion of our debt to the lower-cost renminbi borrowing since 2023. This helps us to save the interest expenses and also it will serve as a lateral hedge against our renminbi-denominated asset. As of 30 of June 2025, our renminbi debt to total debt ratio added further to 62%. Renminbi liability to renminbi asset increased to almost 80% and the fixed rate debt now accounted for about 70% of our total debt. Because of the increase in proportion of renminbi borrowing and also the decrease in HIBOR during the year, we have witness decline in average borrowing cost from 4.7% in fiscal 2024 to 4.1% in fiscal 2025. We do expect our interest rate -- average borrowing cost to continue to come down in fiscal 2025, given the expected interest rate cut. Given the expected further interest rate cut in the U.S. and the moderate decline in interest rate in the Mainland. Debt maturity profile, we had about HKD 35 billion of gross debt as of 30 of June 2025, of which about $9.4 billion or 27% will mature in the coming 12 months. We've been negotiating with banking partners for refinancing of the debt that will fall due within the next 12 months, and we expect the majority of the refinancing will be done before December 2025. We have quite a diversified sources of funding. We have bank loans, both onshore and offshore. We have issued U.S. dollar senior notes in Hong Kong. We have issued Panda bonds in the NAFMII market in Mainland, and we have also issued 2 convertible bonds this year in order to restore our free float. Hot off the press is the HKD 2.2 billion EB transaction announced last night. This chart shows the movement of our lagging ratio since 2019. Back in 2019, we had flat cash position. Then the lending ratio increased to 31% due to the acquisition of CTF Life. Thanks to the strong cash flow generation and to some extent, noncore disposal proceeds, our lending ratio has been gradually coming down to just 8% in fiscal 2023. From the general offer by CTFE, our gearing ratio increased to 35% due partly to the payment of a special dividend of HKD 6.5 billion and also partly to the redemption of our public [ perp ] with the amount of USD 1 billion, which is also associated with the acquisition of CTF Life because the perp was issued in fiscal 2019. As I mentioned earlier, the lending ratio in fiscal 2025 is 37%. Our target, [ deep decking ] ratio remain unchanged, 40% to 45% in the near to medium term. Despite the headwind to the macro economy both in Hong Kong and the Mainland, we've been able to grow our AOP, our cash flow as well as the net profit from 2023 to 2025. And we are also improving our return on equity thanks to the more optimal capital structure. We've been paying -- we have a very long dividend track record. We've been paying dividend for 22 consecutive years. We have adopted the current progressive and sustainable dividend policy since fiscal 2019, and we gradually increased our ordinary DPS from HKD 0.58 per share in fiscal 2019 to the current HKD 0.65 per share. We paid out special dividend once in the fiscal year 2024 and the other one in the fiscal year 2025. And for the current year, we have given the shareholders a scrip option for the final ordinary dividend for fiscal 2025. We also announced a 1-for-10 bonus issue. The purpose of both is to increase the liquidity and trading volume of our stock. As you know, we have issued 2 CB. The primary purpose is to restore the public float of the company. We issued the first CB $780 million in January 2025. Upon its maturity in July, approximately 27% of the CB were converted, and we managed to increase our public float to about 24.4% because it's still below the 25% minimum requirement. As a result, we repurchased the remaining outstanding CB and issued new CB with an amount of HKD 518 million. As of today, part of that HKD 850 million CB has been converted and our latest public float is about 24.5%. So we are confident that the outstanding CB will get converted because the current share price is above the conversion price by quite a wide margin. And upon full conversion of the $850 million CB, our free float will be able to increase to 26.4%, which is above the 25% minimum requirement.
Chi Hang Ho: Maybe Jim can talk about the -- I hope you -- maybe you can talk about the exchangeable bond.
Jim Lam: Okay, sure. We announced exchangeable bond transaction last night. The key terms include the size of the bond is HKD 2.2 billion. The coupon is 0.75% per annum. The maturity date is 3 years with the put in 2 years by the investor. It's exchangeable into our 10% stake in Shoucheng Holdings. We issued the EB at a 3% premium. So we will get a total proceed of HKD 2.3 billion. If we manage to dispose all the CB due to the conversion, we will be able to generate a gain of about $1.1 billion, $1.2 billion pretax. I think the beauty of this CB transaction is that we are able to take advantage of the very hot CB market in Hong Kong by issuing the CB at so-called negative yield, meaning that we free dollar from the investors, and we will give out 0.75% coupon every year. So at the end of 3 years, in case the EB does not get converted, we will still be in a net gain of about 0.75%. The reason why we decided to issue the CB is because, first, it will allow us to dispose of our stake in -- so at a premium. The premium is 5% to the latest closing price. And also, as I said, right, if we're not able to get converted on this EB, we will still be able to acquire the funding at a negative yield.
Chi Hang Ho: Thank you, Jim. Next, I will talk a little bit about the business operations of each of the segment. Let me just give me -- time to go back. Okay. So first of all, the Road segment, as I mentioned, the AOP has decreased 8%. But if we exclude the 4 roads, the Guangzhou City Northern and the 3 toll roads in Shanxi, the AOP of the operating roads actually has a 1% increase year-on-year. In terms of the traffic, it increased 2% However, there is a decrease in the long-distance traffic, which actually lead to a 2% decrease in the toll revenue. For our remaining concession period, it's about 12 years. As I mentioned at the very beginning, I don't think we will heavily invest in the toll roads in the expansions. We probably will look at enhancing the income of the existing toll roads by expanding the existing toll roads. Obviously, on each particular investments of expanding, we will calculate the return in deciding whether to expand the current toll roads in order to get the extension of the concession period. But it is unlikely that we will acquire any new toll roads in the near future. For the Financial Services segment, we have rebranded the CTF insurance into CTF into the financial services segment. And throughout the year, we have leveraged on the CTF brand rather than the OFT Life -- sorry, I forgot already, the OFT Life brand. So we can actually leverage very much on the CTF jewelry popularity in China to sell its insurance products. Going forward, as I mentioned, we will develop the integrated wealth solutions platform for the entire services. For the CTF Life, the AOV increased by 29%. CSM release increased by 28% to $1.1 billion. And the CSM balance net of reinsurance also increased by 13% year-on-year to $9.2 billion, which actually position us for a very consistent and sustainable profit recognition going forward. The investment yield on the fixed income portion also increased by 0.1% to 4.6%. So on the details of the operations, the APE decreased by 27% because that I need to explain a little bit because our financial year actually spending across the second half of 2023 to the first half of 2024. So that has actually an impact on the pent-up demand for COVID-19 for the second half of 2023. So it has a relatively high base. That actually attributed to the decrease in the APE. And also because -- but if you're looking at the 3 years CAGR, the increase was actually quite significant on the 23%. The VONB also got impacted by the same reasons. But looking again on the 3 years CAGR, it also is around 24%. The VONB margin increased 3% to 30%. Our solvency ratios actually still maintained at a very strong position at 279% even after the dividend distributions to us in the middle of this year. The embedded value, which is essentially the value of the insurance company increased by 90% to HKD 25 billion. So the APE, when you're looking at the APE, as I mentioned, there was this effect of the pent-up demand in 2023 and financial year 2024. But if you break it down to look at the performance of each channel, our agency channel has actually performed very strongly. Next page. So if you're looking at the agency, the APE from agency actually increased by 48%. And looking at the quality, the agency productivity increased by -- also by 48%. The persistency of the agency also increased by 23% and new recruits increased 24% year-on-year. So this actually is a result of the transformation of the agency force over the last few years. And you can see the fruits of the transformation actually improved the KPI of the agency channel. In 2025, we expect the agency channel will continue to grow in the coming years. So looking at each parameters, the investment portfolio AUM increased to HKD 91 billion. All the other investment criteria has not changed with the majority in bonds and also the majority of the bonds is in A- or above. So the 2 acquisitions that we have done in March 2025 and August 2025, including the acquisition of uSmart and the acquisition of Blackhorn is basically the backbone of our expansion in the financial services segment, catering to serve the high net worth clients, essentially to try to form a mini ecosystem within the financial segments so that we can actually blend all the different products together to cross-sell our clients within the different companies. Next is our logistics with the 3 different portions, the ATL, the 7 logistics properties in China as well as CUIRC. So in the logistics asset and management segment, ATL in Hong Kong, the occupancy rate is 80%. The average rental increased by 8%. So you can see the occupancy rate actually decreased from 96% to 80%. The reason probably I have explained in the half year result as well. The reason is actually very simple because in the -- during the year, we have the renewal of one very big clients within the premises. And the determination of the next 5 years rental is actually by the average rental of the existing plants. That's why we need to keep the rental -- existing rental high. And by that, we give up some of the lower rental tenants. That actually drive the occupancy rate down. And we now have already determined the next 5 years of this big tenant. So we can actually ramp back up the occupancy rate. Our target is to go back up to above 85% by the end of this year for ATL. For the 7 logistics properties, the overall occupancy rate maintained at 87%. One to note is the Suzhou property. As you can see here, the occupancy rate of Suzhou properties decreased to 40%. The reason of that is we terminated our tenant what we call a -- the subtenant, okay? The [Foreign Language]. The reason is the subtenant. So we mix the Chinese and English together, subtenant. The subtenant. The subtenant because they are in financial difficulties. So they are not actually servicing they're not actually doing their work. So we terminate that subtenant. We directly manage our tenant now. And we already -- we terminate that tenant in April. And by now, in August, we already increased back the occupancy rate from 40% to above 60%. So we do expect it will go back to about 80% by the end of this year. I mentioned before, going forward, we will continue to look for undervalued logistics opportunities in Mainland China, particularly in GBA as well as the Yangtze River Delta. The target is to look for fully occupied asset at above 8% cap rate. So this is the target for our acquisitions in this particular space. So it's very simple. We look for undervalued assets with strong cash flow. CUIRC in which we own 40%. The AOP increased by 23%. Throughput increased by 10%. It is a very strong year for CUIRC. We do expect that it will continue to because it continued to be supported by the Belt and Road initiatives. And the new expansion Urumqi terminal will finish by the end of this year. So we do foresee that the result of CUIRC will continue to grow. Next is Construction segment. Our Construction segment maintained a very steady AOP despite probably all of you think the diverse tech -- residential market in Hong Kong. We completed the acquisition of Hsin Chong Aster earlier this year and which already contributed positively to our profitability. The gross value of contracts on hand decreased 8% to $58 billion because throughout the last financial years. We basically finished the entire the sports park. So that actually decreased the contracts on hand. The backlog increased 24% to $38 billion. The newly awarded contracts also increased by 9% to $23.9 billion. The type of projects now stood at 61%, government-related projects that actually increased from 48% to 61%. Probably some of you will be curious how many of those projects are New World related. 8% of them are New World related. I need to give you a little bit of light in this. First of all, there is no pressure for us to get or to take any New World-related projects. It's all independently negotiated. So from our perspective, from CTFS' perspective, we won't sacrifice our profit or margin to do projects for related parties. I think the bottom line for us is we will maintain our profit margin if we do any of the related party projects. So this 8% actually were projects that we got from Hip Hing, one of the previously the construction contractor for New World projects. Going forward, whether we will do any New World-related projects is definitely going to be a competitive bidding process. For us, again, it's not necessary for us to do any New World projects. And for those who are concerned about the payment of New World projects, I can rest assure all of you that the 2 projects that we got from New World, one is The Pavilia Farm. The other is State Pavilia. Both of them already got enough cash in the stakeholder accounts to pay our construction cost. So rest assured, there's no issues on the payment on our construction expenses. So the CTF Construction Group, now we have the complete suite of different services. including the engineering and building construction for Hip Hing, the foundation of Vibro, the concrete products, suppliers of Quon Hing as well as the electric and mechanical engineering services of Aster. For construction industry, I think, as a whole, we're still very positive, as you can see from the recent policy address that the very strong emphasis has been put in the Northern Metropolis, and we definitely will be benefiting from them. and we will continue to focus on government-related projects. One thing that probably said for others is there has been a close down of a number of contractors throughout the year, but that will actually benefit Hip Hing as less competitors in the field going forward. Last but not least is the facility management business, which comprise the GHK Hospital commission center as well as KTSP. GHK as I mentioned, we own 40%. First time since its opening, it contributed positively to our AOP. EBITDA increased by 23% and the patient volume also continued to increase with the regularly utilized bed increased from HKD 313 million to HKD 337 million. The average occupancy rate maintained at 64%. As some of you know, or probably don't know, the GHK actually also comprises of a network of clinics. We have now 6 clinics and different services within the network. So we have clinics in both Central, the Western District and also the southern districts. We also have a pharmacy. We also have laboratory services, and we're going to open another medical services center in Central -- in MOT later this year. So all these actually serve as a channel to get patients into the hospitals. And also to free up some spaces, available spaces within the hospitals so that they can actually serve the patient off site from other service centers. Next is the CEC. The AOP declined mainly because of the decrease in F&B revenue due to fewer banquet events and also down scaling of some of the trade exhibitions. Going forward, I think CEC, CEC will definitely expand on the emphasis on conventions as well as conferences, which will require physical attendance rather than the traditional trade shows. We will also get the government support on mega events to bring in more nontraditional type of industries, including the recent Bitcoin conferences and all these different new conferences to Hong Kong. KTSP in which we own 25%. Because of the preopening expenses, it recorded AOL during this financial year. So since the opening -- official opening of KTSP on the 1st of March, already more than 30 sports and entertainment events held in the park with over 1 million events -- 1 million attendance to the main stadiums and more than 7 million visitors to the entire park. As you probably know, within the park, there's a shopping mall of around 700 square feet shopping mall. The occupancy rate is around 80% by the end of the financial year. Now it's already over 90% as we speak. So we do expect the result of KTSP will continue to grow. So I will pass on to Karen to speak a little bit on ESG.
Oi-ling Ngai: Hello. Thank you. I'm pleased to share an update on our ESG progress for FY 2025. Since we introduced Breakthrough 2050, our ESG strategic framework last year, I'm happy to report that all our key targets remain on track. In particular, I would like to highlight 2 major achievements. 39% of our bonds and loan facility are now coming from green financing. And we have achieved a 19% reduction in Scope 1 and 2 emissions compared to our FY 2023 baseline. So let me now walk you through what this number means in context and how they reflect our broader ESG journey. So our ESG rating provides a snapshot of how we are performing across key sustainability dimension. I'm proud to say we have maintained strong standing across all major ratings. This result reinforces our commitment to transparency, accountability and continuous improvement. With that foundation, let's take a closer look at some of the operational highlights driving this performance. So in our upcoming ESG report, we have expanded our GHG inventory disclosure to provide a clearer picture of our emission hotspots. This allow us to tailor decarbonization strategy to each business unit, operational and strategic context. So when you look at the number, you can see that Scope 1 and 2 emissions are largely concentrated in on-site operation at Hip Hing and HML, which is the Hong Kong CEC operation, making up 86% of our direct emission. Meanwhile, Scope 3 emission, primarily from investment and procurement account for 97% of our total footprint, underscoring the importance of engaging our value chain. So with this deeper understanding of our emission profile, we have been able to allocate resources more effectively and accelerate our impact. Hip Hing and CTF Life have now received SBTi validation for their near-term target. In FY 2025, we achieved a 19% reduction in Scope 1 and 2 emission compared to FY 2023. This effort aligned with our goal to reduce emission by 50% by 2035. So we kind of list out of the decarbonization levers that we are going to focus for each business segment. So I go too technical at this point. Let's now zoom in on how our business units are driving the transition through some technology. In construction, digital transformation is a key enabler. We are integrating tech across the project life cycle. A standard example is a Hip Hing distant tower crane command system, which combines MiC, AI, IoT and remote control technology. This innovation not only enhances safety and efficiency, but also helps attract younger talent and promote lean data-driven practices. So when you look into our report, you can have some more insight of this new innovation. So we also use tech throughout operation. Communication is critical to supporting our people and communities and technology is helping us to do that even better. Our digital platform now provide real-time well-being support, safety update, an engagement tool for employees anytime, anywhere. In particular, for construction worker, Hip Hing Connect has become a key tool. Over 77% of registered construction market in Hong Kong are now using it to access safety record and site entry for all Hip Hing construction sites. So we have -- we have also launched Go Hong Kong CEC, a virtual queuing system that reduces traffic congestion in one short area by allowing trucks to enter only when loading bay are available. So we're using this kind of digital tool to improve not only communication but also safety, efficiency and community impact. So in our rail operation, we have continued to modernize with AI monitoring, electronic tolling and mobile payment like WeChat Pay and Alipay. This upgrade reduced congestion, enhanced user experience, and support our Green Mobility goal. By embedding technology into our operations, we are now delivering services more effectively and managing resources board more efficiently. Now let's shift gears and look at how we are capitalizing on opportunities through responsible investment. So in FY 2025, we mobilized HKD 18.5 billion in sustainability-linked loans and green debt financing, representing 39% of our total debt financing. We also partnered with RESET Carbon to procure green electricity certificate in China, following a rigorous due diligence process. This is not only support our own emission target but also contribute to broader renewable energy transition in the region. So we recognize that how we allocate our capital plays a critical role in the transition. That's why we have embedded ESG into our investment criteria, ensure capital flows to initiatives that build resilience and mitigate climate and social risk. We have implemented an ESG due diligence checklist at the investment planning stage to identify and address potential risk area. Our exclusion list ensure 0 exposure to non-ESG aligned sector. At CTF Life, we have adopted MARS Climate, a Bloomberg NEF power model that assess transition risk and opportunity under various climate scenario. In FY 2025, we have invested HKD 3 billion in ESG label bonds, which accounted for 5.2% of our total bond investment. Additionally, we allocate HKD 4.5 billion to ESG fund, representing 34% of our mutual fund and ETF investment. Importantly, 100% of our credit and equity research report incorporated ESG assessment, reinforcing our commitment to responsible and resilient investment. So to quickly wrap up my update, I want to emphasize that we know that ESG is not just a reporting exercise. It's a continuous process to require cohesive effort across the group. We have been actively creating a platform like our internal ESG conference, project funds and leadership workshop to engage colleagues at all levels. This year, we have further strengthened our efforts by appointing 45 impact leaders from across all business units. They serve as a key driver in embedding our ESG strategy into day-to-day operation. So together, they form a powerful network of change agent, helping us embed ESG thinking into everyday decision and drive measurable progress across the group. So as we look ahead to FY 2026 and beyond, we invite all stakeholders to engage with us, challenge us and collaborate in shaping a more sustainable resilient future. So that's it for me. Thank you.
Sze Fun: Thank you, Gilbert, Jim and Karen, for the insightful presentation. We are now moving to the Q&A session, and please state your name and organization before stating your questions. Thank you. Jeffrey Kiang from CLSA?
Ming Jie Kiang: So my first question would be, can you give us some update on the roads, probably from some media, we saw there could be some potential disposals happening a few months back. So I just want to hear any updates on what's happening behind the door.
Chi Hang Ho: Okay. First of all, actually, there's a lot of questions about toll roads on the Internet, which I will answer it together as well. There has been news I think on Bloomberg or whatever about the road disposal. I think given that we have very good road assets. So there has been approaches from different parties about our toll roads assets. From our perspective, we have a very strong cash flow with all our toll roads assets. I mean, from our perspective, there is no immediate needs of disposing any of those. Obviously, if the price is right, if the price is good, then we might selectively dispose some of them, but only if we think it makes sense from a price perspective. And there is no, again, there's no immediate plan of what the articles mentioned about the entire toll road portfolio. There's no such plan. On the internet, there is this question.
Unknown Executive: [Interpreted] On the Internet, there's these questions on -- there is a question online saying that right now, the duration -- the remaining duration is only 12 years. And then for the Road business segment, if we do not invest further, so will it contract. Or in other words, when the duration or when the maturity is reached, are we just going to just extend the concession period by means of expansion or modification, if we are to invest, how much do we need to invest?
Chi Hang Ho: [Interpreted] Okay, 2 points here. First of all, for every road, before the end of the concession period, we need to calculate whether we want to put in place expansion or modification. Every road is in a different situation. If we use Guangzhou North Ring as an example, back then, we discussed with the government to see whether there can be expansion and alteration to extend the concession period. However, the cost of expansion and alteration is too high. Guangzhou North Ring is in the center of Guangzhou City. And if expansion and alteration is to take place, we have to make use of the sites on which other people might be building properties. We have to first acquire those sites before we can start expansion and modification. Even if the place is not within the city center, there are other parallel roads.
Unknown Analyst: [Interpreted] Will there be an impact on future traffic? Are there any slip roads or branches to be built that may affect road traffic. Regarding the province, if we build a new road or if we do expansion, how much is the cost.
Chi Hang Ho: In each province, to do this work, the requirements are different. So when we do an overall calculation, the thing is very straightforward. We look at future vehicle flow and whether the return makes sense. If it doesn't make sense, we won't do it. We will not, for the sake of maintaining a big road portfolio blindly invest to maintain all the 13 roads. There is not a need for us to do that. So the answer is correct. On one hand, if we do not do expansion or modification, if we don't buy new roads, then of course, the concession period will continue to fall. That's the fact. But still, there are still 12 years to go. Secondly, for the decision about expansion or modification, it all depends on investment return. If the investment return doesn't meet the standard, then we would rather use the money for other investments.
Sze Fun: Is there any question?
Ming Jie Kiang: Thanks for the question. So my next question would be logistics. So you highlighted some factors that may have impacted the occupancy and probably your target by year-end for Hong Kong and Suzhou. So I just want to maybe hear your thoughts about -- from 80%, let's say, in Hong Kong to 85%, we probably are quite confident on that. Based on what you are seeing in the market and how we determine the rent, how difficult would you say it will be from 85% to 90-plus percent for the occupancy, let's say, in Hong Kong, maybe for the next 12 to 18 months? Just want to maybe hear assessment around this.
Chi Hang Ho: Okay. That's a very good question. I think, first of all, it's definitely not going to be easy. The Hong Kong warehouse market, although we are in a very, very good location in Kwai Chung, but at the same time, the tenant has actually changed over the last 20, 30 years. Less than 50% of our tenants are transshipment tenants. So basically, we are serving like retail tenants locally, okay? So our biggest tenant. We're talking about dairy farm. We got Coca-Cola, we got Wellcom. So it's all about domestic consumptions. So when we're talking about the next 12 to 18 months, hopefully, the economy and especially domestic consumption needs to get better, right, before we can actually say that our warehouse will have tenants. And give you another example, one of the tenants is Sza Sza. So with the tourists are coming in and they need to buy things to ensure that the retail market goes well, then accordingly our warehouse will go well. In terms also of the supply, there will be new supplies, but not in the next 12 to 18 months. There will be still quite some time before the new warehouse from ESRs is coming out to the market. So we think that the main driver will still be a stabilizing domestic consumption market, then I think we are confident to get back to 90%. But 85% shouldn't be a problem because we strategically didn't lower our rent for the last 12 months. So with our premium locations facilities, we are very confident to get back to 85%. You can talk about construction now, I think.
Ming Jie Kiang: Yes. Actually, my first question is really about construction. So on Xinhong as that asset we acquired, of course, it's good to see it is contributing positive profit. But strategically, can you help us understand how it has added value to Hip Hing maybe from a project bidding point of view? And maybe specifically, how is it different by sitting on the CTF Group, before acquisition and now sitting under CTFS, is there any change in the strategic value on this asset. That will be helpful.
Chi Hang Ho: I guess this is something that all of you will very like to hear, although it is sitting at CTFE Group, all of us, despite all of you probably wouldn't imagine, all of us actually working very independently without influencing each other, okay. So putting that company mean into CTFS group we can actually do all the tendering together, especially the design and build contracts. Because just to give you a little bit of sense about the design and bill contract. Design and build contract, meaning that when you submit the tender. You actually need to know all the costing of different components in the design and build tender you have the construction component. You also have the M&A component. So if you don't have that up, you need to guess or you need to actually have that other contractor coming in as a joint venture partner to submit together the tender, okay? That one problem is, you probably need to give some of your profit margin to that tenderer, to that M&A tenderer. And you don't have the full collaborations on the tendering process. Now we have all the costing base of the different components, we can actually submit a more competitive tender. And actually, can calculate the costing more accurately. So we do see that there is a very competitive advantage in having a full suite of different services. There is only 2 big construction group having that. One is us, one is Gammon. So in order to bid for high-value contracts, because usually design and build contracts are higher margin. So in order to build this high bid for these higher-margin projects, we think it is beneficial to have this M&A arm in this particular area. And when you're looking at more deeply into Hsin Chong Aster, more than 60% of the Hong Kong hospitals are built by the M&A team. So we do, we will, going forward, and have a competitive advantage in this project because we have this experience with Hsin Chong Aster being in the team.
Sze Fun: Thank you, Gilbert, and thank you, Jeffrey. We received a question online regarding the toll road business. So if we do not further invest in the toll road portfolio, then the concession period will continue to go down, then how will this impact the sustainable and progressive dividend policy?
Chi Hang Ho: Okay. First of all, the next main toll road concession expiry is 2029, which is the Hanzhou Ring Road. So there's still a little bit of time. And I think from now until then, first of all, there will be continued growth in our different business segments that you can actually see the trajectory of the different business segments is already on a growing trend, especially on the financial segment, which is CTF Life. And I also mentioned that we will look for value accretive acquisitions in the logistics segment. The first most important criteria in this area is a strong cash flow in any of the acquisitions. So we are very confident that we can actually replenish both the profit and the cash flow that we're going to lose in probably 5 years' time from some of the toll roads' expiry.
Jim Lam: Yes. Besides the dividend -- the ordinary dividend only accounts for about 50% of our operating cash flow. So there is room for us to reinvest to the remaining 50% of our operating cash flow into new acquisitions.
Sze Fun: Thank you , Jim, Gilbert. So then from Ethan from HSBC.
Unknown Analyst: I do have a few questions in mind. First of all, on your presentation, Page 30, on your construction business. On your lower left chart, it says that 61% of your projects are government-related. Is that based on your existing projects on hand? Or was that based on revenue already incurred in your financial year 2025. That would be my first question.
Chi Hang Ho: Existing project on hand.
Unknown Analyst: Got it. Okay. So that reflects basically 61% of your order book, I think. Correct?
Chi Hang Ho: Yes.
Unknown Analyst: Okay. Got it. So that would be reflected into revenue in the future and will be mainly driven by government-related projects. And my second question will be on your dividends. I just want to kind of get more -- a better understanding on your progressive dividend strategy, meaning does that mean that your core or regular dividend will be maintained on a dividend per share basis, irrespective of the bonus shares being allocated on this year, and whether or not that 10:1 bonus shares continue to recur in the next financial year. So that would be quite key, right? I'm just trying to think what is the total cash return that shows would bring back on an ongoing basis on a multiyear basis?
Chi Hang Ho: Okay. Maybe I can talk about it more qualitatively and then talk about it more quantitatively. I think, first of all, in terms -- for the current year, okay, first of all, in the current year, we are looking at the DPS. We are looking at the DPS continue to be at $0.65 totaling like $0.35 for the final dividend. And I think the -- there will be no changes on that for the current year, okay? Going forward, whether the DPS for a full year basis, whether we're going to keep at $0.65 per share or there will be any changes to that because of the 10:1 bonus issues. We are still internally thinking about that. I think I would say, okay, without discussing internally. I would say it wouldn't -- because we're talking about 10% increase in our shareholder base. So without changing the DPS, we're talking about 10% increase in the dividend, right? So I think we will be more looking at assuming every single shareholder getting the bonus shares, not selling their bonus shares, you will have the absolute amount of return on your shareholding stay the same, okay? So conversely -- so there will be a decrease in the DPS, okay? But we still haven't decided yet. I mean we haven't discussed in the Board going forward on that. The next question is about whether there will be a continuous policy on whether there will be bonus shares every single year. okay? I think we actually mentioned that in the press conference. The reason of having the bonus shares is to create a more liquid shareholder base. So we hope the increase of the number of shares will actually enhance the liquidity of the stock going forward. It's not going to happen in one single year. So we do think it will be a continuous policy. So we will continue to do this. Again, whether we're going to maintain the DPS, we still haven't discussed that in the Board. Maybe Jim can actually supplement that.
Jim Lam: Actually, I don't have much to add. So the primary purpose of the bonus issue is to increase the liquidity and trading volume of the stock.
Unknown Analyst: Got it. Because if I understand it correctly, with the dividend on the final year of the $0.65 you gave with the additional 10% additional shares that shareholders get a kick back. The yield, at least for the next few months to go IS going to be quite attractive, right? Assuming the equity value is not going to go down, then I think that itself, the return for shareholders are actually quite attractive. I'm just trying to think whether or not that return could be sustained? And when you think about progressive, are you -- maybe it's a question that, same question that as basically, whether or not are you thinking of maintaining your dividend per share continuously by enhancing return for shareholders through bonus shares? Or should we say that bonus shares still going to be a one-off for this year?
Chi Hang Ho: I think, first of all, it's unlikely to be one-off. As I said, it's going to be a continuous policy as we see it as of now.
Jim Lam: I think we can only assure you at this point that the total amount of dividend in absolute term will not be lowered. But whether or not the DPS will be lower or not, we haven't decided yet.
Unknown Analyst: Got it. Makes sense. And my final question would be about your financial sector. You've done quite a number of things on -- alongside with CTF Life. I just want to see how optically or how do I understand the synergy could be created between FTLife, uSmart and Blackhorn together in the next couple of years, how much accretion that we could estimate or imagine, at least qualitatively, where that's going to come from?
Chi Hang Ho: I think, first of all, in terms of numbers, it will be very difficult to actually give any exact numbers as of now, given that we still haven't even completed transactions. But I think the logic or the division is actually to have our high net worth clients at FTLife, CTF Life to be able to buy their other wealth management products within our own ecosystem. In a very blunt way, is to lock their money within our own ecosystem. So they have $10 spent already $5 in CTF Life, they can spend the other $5 at Blackhorn and uSmart. So the idea is actually very simple from our perspective. The main growing sectors in Hong Kong, as you can actually see from all the different banks, HSBC, Standard Chartered, everyone, whether they are actually doing it or not. They are actually saying that they're growing the wealth management segment, right? We are doing exactly the same. The difference is we already have a very large pool of policyholders with CTF Life, and we are having individually servicing each of these policyholders. And you like it or not, we basically will contact all these policyholder every single year, right? I don't see HSBC contacting me every single year. So by that, I mean, obviously, we have this very good touch point that we can actually grab all these different clients and sell them our other wealth management product at uSmart this is something that I think is very likely to do. Vice versa, obviously, it's a very relatively small amount. I think Blackhorn currently has around 3,000-something high net worth clients. Vice-versa, obviously, we can do exactly the same. And we have the biggest suite of wealth management platform and products to sell. We can obviously use our other clientele, including [ China Porter and Rosewell ] and all the others to give them services and also sell them our wealth management products. So it is a very lucrative way. I can't really quantify that, but at least this is the vision. I know I have been talking about that for the last 5 years. But now with the reality that the platform actually builds up with a stronger team of agency force, they are actually very hungry to have more products for them to sell to ensure all these clients stay within our own ecosystem. So it is something that I see that it is going to come in the next few years.
Sze Fun: Okay. Thank you, management, and thank you, Ethan. So this is the end of our analyst briefing, and thank you so much for joining us. Have a nice evening. Thank you.